Operator: Good day, ladies and gentlemen. And welcome to Harmony Gold Results for the financial year ended June 2020. All participants will be in listen-only mode. [Operator Instructions] Please note, that this conference is being recorded. I’d now like to hand the conference over to Mr. Peter Steenkamp. Please go ahead, sir.
Peter Steenkamp: Thank you, Judith, and good morning, everybody. Thanks for joining us here at the Financial and Operating Results for FY ’20, at the year ending on the 30th of June 2020. With me and the team we have got Boipelo, Frank and Mashego, as Executive Directors, Max, Marian and also Herman, so please free to ask questions later. Just in terms of our results. And, you know, our key features of our results, a 9% increase in production profit to ZAR 7.1 million, close to ZAR 72 billion. We had a 3% increase in average underground or decrease in average recover grade at 4.45 versus a 5.59 in weight in the previous year, and a 9% increase in revenue to ZAR 25.2 billion. The company achieved a better-than-expected production performance in the fourth quarter of FY ’20 despite the COVID-19 challenges, and we are a 25% increase in the average gold price received. And so that is really been a quite a tailwind that we had. And we make - continues to make a good progress in executing our strategy of producing safe profitable ounces and increasing our margins. Our drive for safe ounces was never more applicable than in last quarter of the financial year as we face the challenges of managing and mitigating risk presented by COVID-19 pandemic. Despite the impact of the South Africa lockdown and Phase III start of the mining in the country, we are pleased to report higher than anticipated production and substantial delivery against our strategy in the last quarter of the year. We are well positioned to benefit from the anticipated continuing strength of the gold price. The newly acquired assets will help grow our production. And as conditions improve, only as other Tier 1 projects such as Wafi-Golpu and a pipeline of organic projects in South Africa to incorporate into its portfolio. We'll take any questions if you have.
Operator: Thank you very much. [Operator Instructions] The first question comes from Arnold Van Graan of Nedbank.
Arnold Van Graan: Yes. Good morning, Peter and team. Thank you for taking my question. So Peter, my first question is around flexibility and the operational impact of the lack of flexibility. So where I'm coming from is I see you had some high grading following the lockdown, which is understandable. You've also had reduced development. So my worry is that this lack of flexibility could have a material impact on your output going forward. So the questions around that is, at mid-year you really had some grade issues at Kusasalethu and Moab, and you had some infrastructure issues at Target. So the questions are, how far did you manage to resolve those issues before the lockdown? And then given that, plus the sort of reduced development, how do you see that playing out over the next few years, a few months? When will you catch up the development? And have you taken the lack of flexibility into account with your guidance? So I'm just really worried that in a couple of quarters from now, a lot of these issues could materially impact production. So that's my first question. Maybe let's leave it there. And then I've got a financial question after that. Thanks.
Peter Steenkamp: Thanks, Arnold. And you're 100% correct. When we started back at work, and especially when we had the 50% of our employees back at work, we obviously had to deploy them into our staffing crews. There were areas where we had flexibility issues prior to the lockdown starting, and its really at Tshepong. So we did bring in - we did start some development at Tshepong earlier than later. For that reason Tshepong, if we look at the production build up as far as gold production is concerned, it was a little bit slower than the other mines because we had also crews that we had to deploy into development at the time. So yes, we obviously you know, when we had the lockdown, we had to make emergency plans. And we had to respond to that at the time. And we've done it in such a way that it could do. Just prior to the lockdown, we actually had very good momentum on all of our operations. Even in Kusasalethu, we had quite a good performance and we had a stunning performance during the lockdown from Kusasalethu. You know, the grade recovered back to the 6 grams of tonne and we will see going forward that you know, Kusasalethu will actually have a very, very good tonne going forward. So we're through that area that we've mined into that tennis [ph] reefs and we had to redeploy crews to other areas at the time. So as far as flexibility is concerned, we took it in consideration for our guidance that we had at the time. Obviously, it is very difficult to guide. And I want to make it very clear, because we don't know what the impact of COVID is going to be going forward, will there be a second wave? Will they be further kind of things happening? We don't know. We take the best possible stab at it. At the moment COVID is really an issue that we've got under control. We've got about 61 people at the moment affected by COVID in a total company, and so we really got it under control now. And – but looking at going forward, we obviously had to take where we are at the moment, replan the mines in terms of, you know, what kind of situation as far as flexibility is concerned. And in general, I feel comfortable with every mine as far as flexibility is concerned. The one that I'm a little bit worried about is Tshepong. But Tshepong at the moment, like I said, we haven't returned all the crews to Tshepong yet, stopping crews. We will probably build them up in the next month or two to get them right. But the rest of the operations I think we are fairly okay. And obviously we know what is our critical things that we need to blast. And we focus on them, you know, up to a very high level in our organization to make sure that those things. We've got development control rooms that runs the operations. We've got things in place that really manage the things well. And we - the figures are very visible, very high up an organization.
Arnold Van Graan: Peter, thank you very much for that. Good luck with that. And then just a quick one for Boipelo. So you o talk about some cost-cutting initiatives, which, again, is expected. Boipelo can you just give us a rough overview of where these costs are coming from, and whether that can have any impact on productivity going forward?
Boipelo Lekubo: I think obviously, if we contextualize that, looking at our costs 50% is labor, so I mean, we continue to pay our employees in the initial period of the lockdown. There were some employees that did forgo cash in the latter part of the lockdown, and 16% of our cost is electricity. And where we did, obviously with our, you know, energy saving initiative. But I mean, these costs were not necessarily that material. Over and above that, there was some force majeure that we instilled with some of our supplier contracts. But, you know, during that period to ensure enough liquidity, we did draw down a little bit on our facilities, but that was subsequently repaid post year end. So I'd elaborate that more - as more of the cost-saving initiatives. And further to that we did reduce capital spend, I mean, there was cuts on development. So, a lot of savings what it was - were achieved in that. So in a nutshell, that was pretty much it.
Arnold Van Graan: Okay, thank you very much for that. And yeah, just well done, you know, under very tough circumstances, and particularly well done on your response to COVID. And, you know, all the initiatives that you launched on the back of that, I think it's commendable. Thank you. Over to the next one. Cheers.
Operator: Thank you. The next question comes from Adrian Hammond of SBG Securities.
Adrian Hammond: Morning, everyone. Yeah, likewise, well done on a good set of numbers. I don’t suppose you have a normalized HEPs [ph] for us, if you could give us some time, which should be interesting to see. I just want to ask on the on the derivative loss that you recorded in the income statement ZAR 1.678 million. What of that was cash?
Boipelo Lekubo: So Adrian, you know that with our gold forward sale derivatives, we apply cash flow hedge accounting…
Adrian Hammond: Yes…
Boipelo Lekubo: Most of those unrealized gains and losses we record in the statement of other comprehensive income. So, what you see in that ZAR 1.678, about ZAR 1.4 billion relates to mainly the ForEx contract. And we've got about ZAR 235 million of the unrealized losses on the reclassified or rather the hedges that we discontinued hedge accounting. That was really due to the restructuring. So we do provide quite a detailed note in note 11 of the financials, where you'll be able to see a reconciliation of that, as well as of the hedge reserve.
Adrian Hammond: Yeah. So just so in summary, then there's that ZAR 1.678 there's no cash there, its all unrealized?
Boipelo Lekubo: No, no, that is realized.
Adrian Hammond: It is realized.
Boipelo Lekubo: Yes. The unrealized losses, which has approximately ZAR 5.2 billion that sits in other reserves. We apply cash flow hedge accounting on that.
Adrian Hammond: All right. But there's also some realized losses coming through revenue, correct?
Boipelo Lekubo: That's correct. That's on the rand gold hedging. So that's ZAR 1.4 billion that's included in revenue, which is a loss.
Adrian Hammond: Okay. Thanks. I mean, just your position for - on CapEx for next year. I don’t think you've given us guidance on that. And with that, what do you expect to spend at Golpu and your position on that asset? And I'd also like to understand a bit more, I see you've given a - in terms of your capital allocation framework, you've illustrated a IRR of 15%. What's your price assumption for that please?
Boipelo Lekubo: I mean, at the moment our planning assumption is ZAR 750,000 a kilogram. Just looking at the CapEx, we did not guide CapEx. I think so there….
Peter Steenkamp: Yeah, in October…
Boipelo Lekubo: So that will be done in October as part of our annual results. And so far as Golpu is concerned, you'll note that because of the delays in the granting of the SML, a lot of the expenditure actually been expensed and not capitalized. So that you’ll see under exploration expenditure.
Adrian Hammond: Okay, great. Thanks very much.
Operator: Thank you. [Operator Instructions] The next question comes from Patrick Mann of Bank of America.
Patrick Mann: Hi. Good morning, Peter and Boipelo and team. Well done on the fourth quarter. Just like the echo Adrian and everybody's points. I just wanted to ask on the unit costs. So, you know, they were up 18% rand per kilogram, and, you know, obviously, your volumes were down and that – we understand that that plays an impact. Just, I'm not 100% sure why the cost guidance for ‘21 is then up another 6% to 9% off that base, because it feels like a high base, right? Because you know, its up 18%, because your volumes are down because of COVID. And then the guidance for ‘21 is 6.90 to 7.10 [ph] on all-in sustaining costs. So maybe just help me understand that. Is that dropping, you know, your planned grades? Is it ex-common wages? You know, I'm just - I would have expected that maybe to be flat year-on-year, if you have 9% nominal inflation, but your volumes should go back to 1.3, I would have thought it would come down a little bit. Thanks.
Boipelo Lekubo: I think Patrick, our overall increase in production costs of about 8%. If you look at FY ‘20 versus ‘19, which was largely expected, I mean, it was mainly really the inflationary increases in electricity and labor. So yes, obviously with the drop in production, then that affected the unit cost. That’s 18%. So I mean, if you look at our cost guidance, it again, the increases on labor and the electricity as well. So it's more or less in line.
Peter Steenkamp: Patrick, just maybe - just to come in there. One of the things we tried to do this year because if you look at last year's performance, the net effect prior to COVID. Now, obviously, COVID had its own little plan. But if you look at the planned performance at a time, on volumes and everything else we were there, we were just not there on the ground. So we in actual fact, you know, had a very, very hard look in terms of our assumptions that we make in terms of you know, things like for instance, dilutions and things like that. So we – you have to - when Beyers and even our team here in the next year level, actually went quite a lot of detail in terms of understanding our grades and make sure we don't over optimistic in a graded again. And I think we've got a very good plan at the place. I think this is a very realistic plan. Obviously, there is upside and there can be upside in that. And obviously, as we incorporate Mponeng in latter part of the year, we would guide again, you know, in the middle of the year what our things will be. But I think one of the things that we want - don't want to get into the same problem, again, is to have the incorrect grades in place. And there are some place – not surprises, but there some areas where we had grades - for Joel, for instance, the first part of that bottom area is a much lower stoping width than we normally have. So we don't have the volumes that we normally have per square meter that we give and the greatness is not necessarily improving the indexing. So what I'm trying to say, I think we went through a very, very thorough planning process this year and got to that - those guidance. If one look actually at the cost itself, I think it's a 4% increase, total cost, you know, without the units at show level [ph]. So, yes, we - it was a very tough thing to guide, I'm telling you, there's not that easy to guide, you know, the impact of COVID or the second wave or things like that. We had some COVID related that we know of, that we will have an impact, because we only have our final foreign nationals back in at work in the first of September. And so, you know, it took us forever to get them into South Africa. You know, we've got them in dribs and drabs and things like that, et cetera, which we - you know, there was actually quite a – I’ll say, one thing in a COVID didn't work well is actually bringing the foreign nationals back. And it's because we had home affairs in there. We had the police in there, we had our Department of Labor, Department of Health, and everybody had to put some time and sprag in the wheel to get people back and eventually we got them over the line and got them cutting back. And, you know, it took much longer than we expected it to take. But yes, I think the guidance at the moment I would say is probably fairly conservative guidance. But you know, we will keep people updated as things change.
Patrick Mann: Okay. Thanks very much. Maybe one more, if I may, just around your sensitivity [Technical Difficulty]
Operator: Just an interruption. If you wouldn’t mind this repeating?
Patrick Mann: Hi. Can you hear me now?
Peter Steenkamp: We hear you well now. Thanks, Patrick.
Patrick Mann: Sorry. Hey, I think you're still using around 750 for reserve price, somewhere around there. I'm just wondering if there's any upside to reserves or life of mine.
Operator: Mr. Patrick, your line seems to be distorted. Are you able to come close to your microphone again and repeat the question.
Peter Steenkamp: We’ve lost Patrick now.
Operator: Patrick, your line is still open. You might have unintentionally muted yourself. I think he's got technical problems on that side. [Operator Instructions] Next question comes from Shilan Modi of UBS.
Shilan Modi: Morning, everyone. Thanks for taking our questions. And congrats on a strong finish to a tough FY ‘20. A couple of questions from my side. Just in terms of hedging. I mean, you've had a consistent hedging policy for the last few years. What's your thoughts on hedging going forward? I see you have extended your hedges into F ’22 now. Just you know, maybe your thoughts on hedging, given the loss that you accrued from hedging in the last year. And then are you also going to increase your hedges, given Mponeng and Mine Waste Solutions will get integrated in the next couple of weeks? I'll follow up with a few more.
Boipelo Lekubo: Okay. So, our hedging approved hedging policy is 20% on production and 25% on ForEx, and we intend to maintain those limits. We have been adding a couple of hedges which you’ll note we presented our hedging position as of the end of June and August. So I think earlier on I did say or mentioned on an earlier call that given the assets that we do have, we believe that hedging responsibly is a good strategy to lock in healthy margins. So definitely, with the - you know, the inclusion of warning, it does present an opportunity at each level.
Peter Steenkamp: But again earlier the 20%, not more than 20% of the production.
Shilan Modi: Okay. So I can assume that you'll have a similar like 20% of Mponeng and Mine Waste Solutions will get hitched.
Peter Steenkamp: That's correct.
Boipelo Lekubo: Yeah.
Shilan Modi: Okay. And then, just in terms of integrating Mponeng and Mine Waste Solutions, I know it's still early days. But like when I do the math, there was some cost reduction that I can calculate when - probably about $100 an ounce when you integrated Moab into your operations. Can we expect something similar when we look at Mponeng and Mine Waste Solutions? And then the last question I have is just your priorities for cash in the next two years?
Peter Steenkamp: Thanks. I'll take the first one. I think, yes, obviously, there is opportunities. The one thing that we had - other than we had with Moab, that we had a conditional competition condition - competition commission approval. This time around, we had an unconditional competition commission approval, so there's nothing that stops us from restructuring from day one. Obviously, we'll do it in a very responsible way. We will obviously, first, want to understand precisely what we get, I mean, the due diligence phase we - we've got a lot of insights. But, you know, we have to be on-site and actually - especially the off-mine cost, seeing how we're going to deal with that, incorporating that into our current Harmony costs. So that's obviously the exercise that we will do and we will guide our way forward a number of half year results and, you know, in terms of where we are, and what we see we can do going forward. I think, importantly, there's quite lot of opportunities from synergies that we have, from, you know, combining surface sources, converting plants into the tailings retreatment and those kind of things, because I think that is a wonderful opportunity that we have in that area. And - but then, you know, yes, we've seen - we're confident that we'll be able to drop the cost. We look at the ratio as management to employees in Harmony and there is obviously much more higher level of employees, more cowboys [ph] than Indians in that ratio, in Mponeng that we normally used to in Harmony. So we'll do all of that work. But yes, we were very excited to go there. We haven't been able to go on site because obviously, obviously the COVID things also have an impact, but then secondly, also, you know, I think this time around we've - normally when at the end of the day, it was quite happy for us to start talking to the more people et cetera. So far we haven't been able to - I haven't been on site yet. And so hopefully you can do it next week, and start talking to the people and getting them on the line. We're very excited about this. It’s a very fantastic opportunity for us. And I think the people knowing that we know now what we've done with Moab and we can do a similar thing, you know, we'll get those people really, truly Harmony supporters going forward, convert them from the previous – like changing their rugby team or something like that.
Shilan Modi: Mponeng is also right next to Kusasalethu. Are there any synergies between the two mines?
Peter Steenkamp: I think that is the one thing to understand, what we want to do is to really see what - how can we actually integrate the two mines into one and get them into a - you know, what can be the possible synergies. One of the things is obviously we only need one service plant. And so that in itself makes a thing, but also from a management perspective, should we not make them a one mine operation and make a mega kind of mine with one management team, et cetera, et cetera. So there's a lot of things that we can play with, but none of them is concrete at this point in time.
Shilan Modi: Okay. And then just your priorities for cash for the next two years?
Boipelo Lekubo: I think definitely given the current gold price environment, it will remain important for us to reap our debt. I mean, also invest in products or projects with strong returns, but ultimately also to start paying dividends again. I think we created an adequate headroom. We were sitting at you know ZAR 7 billion, which is ZAR 4 billion once the acquisition is repaid. So we're enjoying quite good balance sheet flexibility right now to support growth.
Shilan Modi: Okay, great. Thanks very much, guys.
Operator: Thank you. [Operator Instructions] We've been rejoined by Patrick Mann of Bank of America.
Patrick Mann: Hi, everybody. Sorry about that. I'm not sure where I got cut-off. My question was just around reserve price and your sensitivity of your reserves to your gold price assumption. So is there any upsides to your mineral reserves or your life of mine? You know, if you increase your gold price planning assumption. And I think the one that springs to mind is Kusasalethu, which you used to have, I think a 20 plus life and then that was brought right back down. You know, at a higher gold price, does it make sense to run that mine for longer at lower grades? Or is there any NPV accretive decisions you can make around that?
Peter Steenkamp: Yeah. Patrick, I mean, we've used the ZAR 750,000 a kilogram gold price that we did - actually, we did our, I think, our cut-offs at about 680…
Boipelo Lekubo: 30…
Peter Steenkamp: Yeah, 630. So we haven’t followed the run in the gold price as far as the planning parameter is concerned. So for that reason, you haven't seen that our resources and reserves actually grew that much and we kind of stay stable. We just given the fact that we had, you know, challenges in developing in the last part – of latter part of the year is actually a good performance in terms of being able to stay - you know, keep our reserves on the same level. And so, yes, obviously, in particular - at the moment, we're actually mining right in a sweet spot of the Kusasalethu, for instance. And we not intend to mine outside of that high-grade patch. At this point in time, nothing, no development is going out of that. That kind of payshoot is actually a little bit bigger than we thought originally. So we still have about a four year life left in Kusasalethu. But if the gold price is at this very high levels four years from now, we may be under pressure to operate the thing. So what we need to do is to find ways of other pairing panels or other kind of things that we want to do, finding different ways of operating to get our costs down to actually still have a very big margins at any kind of the gold prices that we have. And we at the moment actually – we have started that work at Kusasalethu having quite a number of panels are unpaired panels. And that's why we see Kusasalethu performing very, very well compared to what we had previously. So there's other kinds of things that we can do to improve our efficiencies and actually then trying to work with that. But we're not dropping out planning gold price and things like that. And you know, short term decision, it may help for a year or two. I mean, we've seen with Masimong now that we can actually mine another year, very quite decent profits, which we have closed. But we're not going to have the mine now extending life with another 10 years and we've met a major amount of capital into the development of that mine that has got a ore body that is of lower grade. Masimong really has got very, very low grade left in itself, so it's not necessarily going to help. So now we not follow that. And we have – we very stick to that discipline. Patrick, you - many years ago, we followed the gold price quite, quite well, and then we had a lot of scars on my back is because of that in my life, so I'm not trying to - I'm not going to repeat the history.
Patrick Mann: Yeah, makes sense. Thank you.
Peter Steenkamp: Thanks.
Operator: The next question comes from Adrian Hammond of SBG Securities.
Adrian Hammond: Hi, Peter. Just a follow up. If I may on the environmental side of things, especially now as you're taking on two assets from AngloGold, which comes with obviously, it is around surface infrastructure planning and water management. Could you just give us any highlights on what your key risks are regarding this? And if there is been any changes with regards to provisions for rehabilitation, notably on the AMD side for given that you now probably going to become the largest producer in the West Wits and Vaal River region?
Peter Steenkamp: Adrian, thanks for that. I think it's a good question. Obviously, we’re bringing what is in the trust funds we bring along with us in terms of that. There is a bit of a shortfall, but we - but in a Harmony stable, we've got quite a surplus in terms of our environmental trust funds that we currently have. We look at the liability and we look at the funds that we have, and I think we've got a fairly big surplus. So the net of that would be that it will necessarily not necessarily affect us in terms of our financial provisions going forward. But yes, obviously, the management of all of that is an important part of that. And I'm very proud to say that, you know, the team that we currently have that actually manage our environmental liability under the leadership of Melanie Naidoo-Vermaak has done a tremendous job in the last few years. And as a matter of fact, if you look at our presentation, you see how well we've been, you know, viewed by the FTSE4Good Indexes and things like that, in terms of managing these things down and she's got very creative ways of bringing costs down and also find ways of terms of creating an opportunities that not only opportunities for entrepreneurship in the area, and things like that, but also the rehabilitation of certain areas. So yes, we're not - from a financial perspective, we're not really worried about it, obviously, from a management perspective, we've really looking forward to the challenges to start working on these kind of things and working with that. I think, I would say that really stands out as a major risk. You know, obviously the water pumping in the gold to Vaal area that - but that, we resolved in terms of what things would be, but other than that we are okay.
Adrian Hammond: And just your neighbors there being Sibanye, the operations should they shut or reduce pumping, does that have an impact on you and how do you work that relationship?
Peter Steenkamp: So it will be a very small impact. And first of all, obviously, the flooding of that will take a few times, a few years, but then secondary to that, you know, that the water - the physical transfer of water cannot be that big. And so we've - so that's not a major issue for us. So we obviously do due diligence, spend an enormous amount of time on this. And we understand that very well.
Adrian Hammond: And is there any chance of taking to surface tailings material. And that sounds a bit extreme, but pumping it to the Vaal region to your MWS plant?
Peter Steenkamp: No, I think there's a better potential in actually by converting some of our current plants, I mean, we currently we take over - when we take over Mponeng mine, we will have Savuka plant. We will have the Mponeng plant and the Kusasalethu plant available to us and most probably only need one plant for the full surface of underground sources. So Doornkop will be converted into tailings retreatment facilities. And that is obviously the best place to put money in terms of today's business cases, depending on existing plant, converted into a tailings retreatment plant and then it will work from there. And we - so one of the first things we will do when we take over that is to actually do that study, already we started what we could do, we already started with that. But you know, at the moment we can actually go on-site and drill and all other kind of things. That's one of the first places we will go and look for opportunities.
Adrian Hammond: And thanks. And lastly uranium, does that interest you since you'll be inheriting a uranium plant?
Peter Steenkamp: We are currently - I think the only – that’s a small business, but it's a - that is the only uranium producer in South Africa. So Sunofco [ph] and obviously, our markets online. And so yes, the prices has done well, so we at least we now to be making good money other than the extra gold that we get out of that we actually - our breakeven now with - on uranium production itself without the benefit of the extra gold that we recovered out of uranium plant. So, yeah, like I said, you know, one can maybe put some more light on it because he's a uranium expert in our numbers but...
Herman Perry: Yes. Patrick, we obviously look at the new assets in terms of uranium opportunities, but it's also then on the uranium prices improved, but not be at levels to make it all economical impairment. But we're well positioned if there isn't any opportunities and as Peter said, as we get our hands on the assets, we will take a fresh look at everything that is there.
Adrian Hammond: Thank you.
Operator: [Operator Instructions] We have a question from Mark Dutoy of Oyster Capture Investment [ph]
Unidentified Analyst: Hi. Good morning, everyone. If you just - you put some slides on the Wafi-Golpu project at the end of the presentation, just to confirm that CapEx expenditures, is that your portion of the CapEx, is that for the total project, the US$2.8 billion? And maybe just an update of – if there is been any further progress on it at this stage?
Peter Steenkamp: The US$2.8 billion was the original feasibility study number and for the total project…
Boipelo Lekubo: 100%.
Peter Steenkamp: 100% of the project. So, yeah, just in terms of where we are now, obviously, I think the last reporting period we did report that back in February we had this that so-called state of negotiation court order was lifted. And so you know, we can now negotiate again. Unfortunately, most of us were outside of the country because of COVID. And we haven't progressed much. But in the meantime, a lot of work has been done by the government, the provincial government and the landowners to consolidate their views. And so we are expecting a - soon to have a - you know, kind of a position paper from the sides in terms of where they are with negotiations and what they would like to see out of the project. What is nice - what is a positive thing that the minister kept on saying - the Prime Minister keep on saying that this will be done under the old act, which is quite good for us. I mean, we're quite happy for that. And so - and that he actually are very keen to actually put that position paper on the table now, and they made a lot of public announcements as far as that's concerned, and he talked about September, we would be able to have the bulk of the things - their mandate resolved. So we are keen to restart with the state negotiation team. He's keen to get the thing going, Johannes, and they are more ready. We have people in-country that can continue with the negotiation. So, whenever the government is ready, we are ready.
Unidentified Analyst: Who is going to lead the negotiations? Is it Newcrest? Or you Unet [ph]
Peter Steenkamp: Jointly. Johannes and Craig, I think they are guys that - equivalent of Johannes Jacobus and Craig Jones [ph] The two of them all already the guys on the negotiation. And they also have obviously, you know, teams that support them as far as that's concerned.
Unidentified Analyst: Okay, thanks. And then just on your production guidance, I mean, it seems quite conservative, if I compare it to this years kind of COVID-impacted production. I mean, am I correct in that view?
Peter Steenkamp: Yeah, I think, again, I think we've – like we spent before I mean, we had the issue with the - I think what probably is a good - very good grip of our grade. The volumes I think is very much in line with what we had and the costs are more or less the same that we said before. So we really sitting in a situation where we had to look at managing our grade. So we've had a very hard look in terms of our grades and we think we are realistic as far as that's concerned. Like I said, it's quite difficult to really, you know, predict or guide, you know, the impact of COVID. We looked at in terms of what happened in the first quarter. We adjusted for that. And we're not sure what's going to happen going forward. At the moment, like I said, we've got everything under control. You know, we've got 61 people currently affected by that, so we don't necessarily have an impact on any of our production. But we still have close to 1700 people, vulnerable employees that we haven't returned. Those are pregnant ladies. Those are people that cannot - you know, that's got comorbidities, high levels of comorbidities and so forth and older people, and except for the…
Boipelo Lekubo: I think a bit more.
Peter Steenkamp: For the older people have not returned, either. So I mean, we do have these kind of things that we have to manage, but…
Boipelo Lekubo: And also, Unisel, we split up.
Peter Steenkamp: And then obviously out of that also comes Unisel out, the mine Unisel, we stopped. Well, we stopped – don’t plan to mine it this year, but we're still finalizing the last part of it. And so yes, so that way we - that obviously had an impact on the results. And again, I say we will we will reguide if we put Mponeng into that, in the middle of the year, we will obviously will increase our guidance with quite substantially from where we are now.
Unidentified Analyst: Thank you so much.
Operator: Thank you. And gentlemen, that was a final question. Do you have any closing comments.
Peter Steenkamp: Thank you very much. I could just want to maybe conclude in saying that despite the impact of the pandemic, the need for collective action has revealed our interdependencies and strengthened our relationship with Harmony’s various stakeholders, and I really would like to say that I mean, this has been probably one of the most rewarding times of my life in mining. We were on such a good momentum at prior to the COVID and then COVID struck us, and we had to close the mines. You know, we really thought how we are going to get out of this and really collectively through all the stakeholders, we talked about government, and specifically the government that really, really came to the party, with the likes of radio montage [ph] that supported us. And then of course, you know, the union's, especially on branch level, so we had some fantastic support on branch levels. And, you know, everybody was - it was - with the new norm for them or unprecedented areas, they were not sure what to do, but collectively, I think everybody came through this all the best. And it's certainly been one of the most rewarding times of my career and that - in terms of how we got together, sorted this out, manage the crisis well, and I want to thank my team and everybody else for doing that. So this has been a very, very good, good experience. And we’re really off a very good base now to start the future with a good price and a good momentum still on our operations now going forward. So we looking forward for the new financial year. Thank you very much.
Operator: Thank you. Ladies and gentlemen, on behalf of Harmony Gold, that concludes today's conference. Thank you for joining us. You may now disconnect your lines.